Operator: Good day, and welcome to the IHS Holding Limited Second Quarter 2025 Earnings Results Call for the 3-month and 6-month periods ending June 30, 2025. Please note that today's conference is being webcast and recorded. [Operator Instructions] At this time, I'd like to turn the conference over to Robert Berg. Please go ahead, sir.
Robert Berg: Thank you, operator. Thanks to everyone for joining the call today. I'm Robert Berg, Head of Investor Relations here at IHS. With me today is Sam Darwish, our Chairman and CEO; and Steve Howden, our CFO. This morning, we filed our unaudited condensed consolidated interim financial statements for the 3-month and 6-month periods ended June 30, 2025, with the SEC, which can also be found on the Investor Relations section of our website and issued a related earnings release, presentation and supplemental deck. These are the consolidated results of IHS Holding Limited, which is listed on the New York Stock Exchange under the ticker symbol IHS, and which comprises the entirety of the group's operations. Before we discuss the results, I would like to draw your attention to the disclaimer set out at the beginning of the presentation on Slide 2, which should be read in full, along with the cautionary statement regarding forward-looking statements set out in our earnings release and 6-K filed as well today. In particular, the information to be discussed may contain forward-looking statements. By their nature, forward-looking statements involve known and unknown risks, uncertainties and other important factors that are difficult to predict and that may be beyond our control, including those discussed in the Risk Factors section of our Form 20-F filed with the Securities and Exchange Commission and our other filings with the SEC. As a result, actual results, performance and achievements or industry results may be materially different from any future results, performance or achievements or industry results expressed or implied by these forward-looking statements. We'll also refer to non-IFRS measures, including adjusted EBITDA that we view as important in assessing the performance of our business ALFCF that we view as important in assessing the liquidity of our business and consolidated net leverage ratio that we view as important in managing the capital resources of our business. A reconciliation of non-IFRS metrics to the nearest IFRS metrics can be found in our earnings presentation, which is available on the Investor Relations section of our website. And with that, I'd like to turn the call over to Sam Darwish, our Chairman and CEO.
Sam Darwish: Thanks, Rob. Good morning, everyone, and welcome to our second quarter 2025 earnings results call. I'm pleased to share that we've delivered another quarter of strong results ahead of expectations with strong performance across all our key metrics, revenue, adjusted EBITDA and ALFCF. And we've done it while also spending less total CapEx. This evidences that our strategy is working. We're driving organic growth, efficiency and cash flow. And the environment is moving in our favor. We're seeing an improving macroeconomic and ForEx backdrop as well as fundamental telecom market performance, especially in Nigeria. With all of that, we are raising our full year 2025 outlook across every single key metric. Steve will take you through the details shortly, but the headline is we're operating better, we're more profitable, and we're strengthening our balance sheet as we had planned. Let me walk you through the quarter's highlights. Revenue came at $433 million, ahead of plan with 11% organic growth driven by colocation, lease amendments, new sites and CPI escalators. Adjusted EBITDA came at $248.5 million with a margin over 57%, stable year-on-year, showing continued financial discipline. ALFCF came at $54 million as expected, reflecting the rephrased interest payments following our November 2024 bond refinancing. And total CapEx came at $46 million, down 14% year-on-year, thanks to more disciplined capital allocation. In Q2, we repaid $154 million of high interest debt. That lowered our weighted average cost of debt for the whole company by 100 basis points, and that's tangible progress towards our debt reduction and free cash flow goals. On net leverage, we ended the quarter at 3.4x, down from 3.9x a year ago, right in the middle of our target range. We expect net leverage to continue to decrease between now and year-end, and that's irrespective of the proceeds from our Rwanda sale signed during the quarter, which we expect to close in the second half and further reduce net leverage. During the quarter, we also refinanced our $300 million group RCF, which remains undrawn until the third quarter of 2028. Liquidity remains strong, over $830 million even after paying down $154 million of debt. So, looking ahead, our priorities are clear. First, continue prioritizing paying down debt while continuing to grow organically. Second, stay disciplined with capital allocation and as we approach the low end of our leverage range, evaluate the introduction of dividends and/or share buybacks. Third, unlock further efficiencies by bringing more technology and AI into how we work. Fourth, continue assessing growth opportunities with the highest returns given the high level of demand we are seeing from our customers. And finally, further disposal activity remains under consideration, and we are continuing to assess additional value-creative disposal opportunities. We see significant potential across our markets. The ongoing rollout of 5G across our biggest markets, the MNO tariff increases in Nigeria and of course, the stable Naira. We believe all of these set the stage for sustained growth and strong returns. We'll keep focusing on building the business, increasing free cash flow and strengthening the balance sheet with discipline, all with a firm eye on driving shareholder value. And with that, I'll hand it over to Steve.
Steve Howden: Thanks, Sam, and hello, everyone. Let's take a look at Slide 8, where we show our second quarter 2025 performance. Our results came in ahead of expectations with positive operating and financial progress supported by the continued stable macroeconomic environment in Nigeria. As we look at the results, please note the year-over-year comparisons are impacted by some items in 2024. Firstly, the December 2024 Kuwait disposal, meaning no MENA contribution in 2025. And as a reminder, Kuwait contributed $11 million and $6 million to revenue and adjusted EBITDA, respectively, in the second quarter of 2024. Then secondly, changes in our agreements last year with MTN South Africa relating to the provision of power managed services, which resulted in a one-off reduction of $14.5 million in the second quarter of last year to both revenue and cost of sales, but no impact on adjusted EBITDA. And then thirdly, the impact of the renewed and extended contracts with MTN Nigeria signed last August 2024, including the near- term associated site churn. So in terms of the results, year-over-year towers increased approximately 1.5% and tenants increased approximately 2% in each case, excluding distorted the impact of the Kuwait disposal, while lease amendments increased by almost 4%. On a reported basis, in the second quarter, revenue was broadly stable year-on-year, but was up 2% when adjusting for the impact of the Kuwait disposal. Organic growth was more than 11%, which was partially offset by the 9% impact from the movement of foreign exchange rates, including the Nigerian Naira versus the U.S. dollar. As a reminder, the Naira average FX rate was NGN 1,392 to the dollar in Q2 of 2024 and was NGN 1,581 to the dollar in Q2 of 2025. Hence, our 2Q reported revenue came in flat compared to last year despite those FX headwinds. Although the Naira has depreciated year-over-year, the currency has remained largely stable so far this year and continues to hover in the 1530 to NGN 1550 Naira to the dollar levels post quarter end. Our adjusted EBITDA performance was also pleasing, increasing 1.5% year-on-year, excluding the impact of the Kuwait disposal. Adjusted EBITDA margin was broadly stable year-over-year and our robust adjusted EBITDA performance despite currency depreciation highlights our continued cost control and resilience of the financial model through contract resets. Meanwhile, ALFCF decreased by approximately 19% versus 2Q last year. But remember, the comparison is distorted by a very different interest rate profile quarter-to-quarter in 2025 versus 2024. This emanates from the November 2024 bond refinancing. And as a reminder, following that refinancing, our bond interest payments are now primarily due in the second and fourth quarters of the year, whereas in 2024, they were more evenly spread. Our level of CapEx investment decreased by almost 14% in the quarter, largely driven by the pullback in CapEx as we continue to focus on improving cash generation. Finally, our consolidated net leverage ratio is 3.4x, down 0.5x versus the second quarter of last year. As Sam mentioned, we are well within our target range of 3 to 4x and expect to be at the low end of the range by the end of 2025. All of this is before the sale of our Rwanda business, which we continue to expect to close in the second half of this year. Slide 9 shows the components of our 2Q '25 revenue on a consolidated basis, where you can see how the business delivered organic growth of more than 11% despite being broadly stable on a reported basis, given the impact of the Kuwait disposal and Naira devaluation. From a constant currency perspective, revenue grew approximately 10%, driven primarily by CPI escalations, new lease amendments, new colocations and new sites. Positive signs of the fundamental underlying tenancy growth continuing across our key markets. This strong constant currency revenue growth of 10% was supplemented by the benefits from our FX resets and was partially offset by lower revenues linked to power, given the fall in diesel prices over the period, although this has no impact on adjusted EBITDA or cash flow. The right side of the page shows the organic growth rates of each of our segments for the quarter with our Nigeria segment having grown more than 10% despite the impact of the renewed and extended contracts with MTN Nigeria. On Slide 10, you can see our consolidated revenue, adjusted EBITDA, adjusted EBITDA margins for 2Q '25, as we've already mentioned. Specifically, 2Q '25, our adjusted EBITDA of $248 million and adjusted EBITDA margin was 57.3%, continuing the trend of higher margins we've seen in recent quarters. On Slide 11, we show our adjusted levered free cash flow. So, in the second quarter, we generated ALFCF of $54 million, a 19% decrease year-over-year, primarily due to the higher interest payments in the quarter, as I mentioned earlier. Our ALFCF cash conversion rate was 21.7%. On to CapEx. In the second quarter, CapEx of $46 million decreased 14% year-on-year, continuing recent trends. And that decrease was largely driven by lower CapEx in our LatAm segment, reflecting the continued actions we're taking to improve cash generation and to narrow our focus on capital allocation. Nonetheless, we retain a healthy level of new site builds in Brazil. On the segment review on Slide 12, I'll start as usual with Nigeria. Revenue in our Nigerian segment was $260 million in the second quarter of 2025. During the quarter, we added over 250 new colocations and lease amendments continue to be an important driver of growth as we integrated over 700 new lease amendments since the end of March with our customers continuing to add additional equipment to our sites. This helped lead to strong organic growth of over 10% year-on-year despite an approximate $5 million reduction in revenue from the approximate 450 vacated tenants and 850 lease amendments related to the ongoing MTN Nigeria site churn. On a reported basis, the over 10% organic growth was offset by the 14% reduction in noncore revenues related to depreciation of the Naira year-on-year. As a reminder, at the first quarter results, we caution that given how the Naira was moving period-on-period versus our quarterly contract resets, we anticipated a headwind coming into 2Q '25. However, the Nigerian business has outperformed during 2Q, driving a better-than-expected result. Second quarter '25 segment adjusted EBITDA in Nigeria was $171 million. And although segment adjusted EBITDA margin was up 190 basis points to 65.5%, and that's primarily reflecting a reduction in cost of sales and administrative expenses largely coming from the Naira devaluation and internal cost-saving initiatives. From a macroeconomic standpoint in Nigeria, we continue to see positive progress. The Naira has continued to stabilize, including post quarter end. USD liquidity is available, inflation is dropping, real GDP was up in the first quarter of this year year-over-year and interest rates continue to be held flat but are forecast to start dropping with some analysts expecting the first rate cut as soon as September. And while the Monetary Policy Committee is expected to maintain their tight monetary policy strategy in the short to medium term, the government does expect inflation to come down as seen most recently with the June CPI print of 22.2% versus 23% in May and down from over 24% in March. This was a positive development as the government continues to eventually target single-digit inflation. Crude oil production also continues to improve with July's output increasing to 1.8 million barrels per day, surpassing the 1.5 million barrel per day OPEC quota for the first time in months. Nigeria's FX market remains stable, as we mentioned, through the quarter with an average Naira to the dollar FX rate at 1,581. As I mentioned, current levels are more like NGN 1530 to NGN 1550 Naira to the dollar post quarter end. The country continues to make macroeconomic progress and investor confidence seems to be returning. On another note, following the recent rebasing of GDP, the numbers now show the size of the Nigerian economy to be approximately $250 billion in 2024, and that's approximately 35% larger than initially estimated under the prior 2010 base. As of the previous quarter, Nigeria's real GDP grew 3.1%, of which telecommunications and information services contributed 8.5%, highlighting the crucial role our sector plays in the Nigerian economy. Moving on to Sub-Saharan African segment, revenue increased 18%, while segment adjusted EBITDA decreased 4% year-on-year. The revenue growth was driven by new tenants and colocations. But as I said earlier, the comparison is also impacted by the one- off 2Q '24 reduction in both revenue and cost of sales following the changes in power managed service agreements with MTN South Africa. The year-over-year decline in adjusted EBITDA reflects an increase in costs, primarily driven by higher power generation and tower maintenance costs. In our LatAm segment, towers and tenants grew by 7.3% and 9.7%, respectively, versus the second quarter last year as we added over 400 colocations and 600 BTS during the year. This helped lead to 6% organic growth year-on-year, notwithstanding that we've now written down the remainder of our Oi revenue during the quarter. In Brazil, our second largest market with 8,525 towers, macroeconomic conditions were changeable in the second quarter as the Brazilian real appreciated against the dollar, albeit the Brazilian Central Bank slightly raised rates by 25 basis points, bringing the benchmark Selic interest rate to 15%.In terms of LatAm profitability, segment adjusted EBITDA increased by 0.5% and segment adjusted EBITDA margin increased 260 basis points versus the second quarter last year, which mostly reflects the reduction in expenses from various cost-saving initiatives. On Slide 14, our capital structure-related items. And -- at 30 June 2025, we had approximately $3.9 billion of external debt and IFRS 16 lease liabilities, down from $4 billion last quarter. Of the $3.9 billion, approximately $2.2 billion represents our bond financings. As Sam mentioned, during the second quarter, we've taken further actions to strengthen our balance sheet by repaying certain debt of $154 million equivalent, lowering our current blended group interest cost by 100 basis points from 9.3% to 8.3% and extending some maturities. As discussed last quarter, during April, the outstanding balance of approximately $80 million equivalent on the Nigerian term loan was fully repaid using local Naira cash. This Naira term loan carried a high interest rate and its repayment is in line with our focus to reduce debt, particularly high interest debt. Then more recently, in June, we also redeemed approximately $273 million equivalent of debentures in Brazil using a combination of a new $200 million term loan and group cash. Also in June, we replaced our existing $300 million group revolving credit facility, which was due to expire in October 2026 with a new $300 million revolving credit facility, which remains undrawn. This new group RCF facility can be increased up to $400 million and is available until the third quarter of 2028. Notwithstanding the $154 million of debt prepayment in the quarter and the 2Q being a high interest quarter for us, cash and cash equivalents was still $533 million as of the 30th of June, bringing our total liquidity to $833 million, of which $300 million is the new undrawn group RCF. In terms of where that cash is held, approximately 32% was held in Naira at our Nigerian business at the end of the quarter, although we've continued to upstream from there since the end of the quarter. So consequently, our consolidated net debt was $3.3 billion at the end of June. Our consolidated net leverage ratio was 3.4x, which was broadly stable since the end of March and came down 0.5% year-on-year. We expect leverage to be at the low end of our target 3x to 4x leverage range by the end of 2025, and this will be supplemented by the cash proceeds that we expect from the Rwanda disposal once it closes. So, moving on to Slide 15. And as Sam mentioned, given the strong performance across our business in the second quarter and our positive view on the remainder of the year, we're raising our full year 2025 guidance. We're expecting increased revenues driven by a stronger operating performance and positive FX movements and improved profitability and ALFCF cash conversion driven by our continued financial discipline. To be clear, we would be moving guidance up by more, but in this guidance revision, we're also backing out the Rwanda business contribution on the assumption that disposal completes soon. So, we now expect revenue in the range of $1.7 billion to $1.73 billion. That's a $20 million uplift from our previous guidance. Adjusted EBITDA in the range of $985 million to $1.005 billion, that's a $25 million uplift. And ALFCF in the range of $390 million to $410 million, that's a $40 million uplift. And total CapEx now in the range of $240 million to $270 million, and that's a $20 million reduction from our previous outlook. Our consolidated net leverage ratio target of 3 to 4x remains unchanged as of now. As a reminder, our guidance shows solid growth in 2025 versus 2024 in our revenues when excluding the impact of our disposals and strong growth in adjusted EBITDA and ALFCF. So, there's a few points I'd like to make here on the guidance upgrades. So, number one, revenue is impacted by power indexation movements up and down, which do not flow into adjusted EBITDA nor ALFCF. And we are seeing lower power prices for the remainder of the year, which reduces power index revenue but doesn't impact adjusted EBITDA nor ALFCF. Secondly, given how much we're increasing adjusted EBITDA relative to revenue and increasing ALFCF relative to adjusted EBITDA, you can see the impact of initiatives around profitability, balance sheet and cash flow generation positively impacting our metrics. As mentioned, our guidance raise is now inclusive of an estimated contribution reduction related to our Rwanda disposal, which we continue to expect to close soon in H2. And to put some numbers to that, our new guidance includes an estimated reduction to 2025 revenue, EBITDA and ALFCF of $20 million, $12 million and $7 million, respectively. And then finally, our guidance implies an organic growth rate on revenue of 11% at the midpoint. Our new organic growth expectations reflect increased constant currency growth assumptions driven by a better operating and financial performance, but the offset to this is a lower contribution from our FX resets. We're also now assuming a lower benefit from power indexation driven by lower diesel prices. Then moving to FX and the bottom of the slide shows the average annual FX rate assumption used in our 2025 guidance. For the year, we're now assuming a rate of NGN 1,595 to the U.S. dollar compared to our previous assumption of NGN 1,640. This includes devaluation through the year to 1,730 in December 2025. We are also now assuming stronger FX assumptions to varying degrees for other FX rates on the slide, helping to support our expected 2025 overall financial performance. So this now brings us to the end of our formal presentation. We thank you for your time today. And operator, please now open the line for questions.
Operator: [Operator Instructions] Our first question for today comes from Richard Choe of JPMorgan.
Yong Choe: I wanted to ask about the new lease amendments. It was a lot stronger this quarter than it was last quarter, and colocation remains strong. So, can you just give a sense on what is driving it and what it should look like for the rest of the year?
Steve Howden: Richard, it's Steve. Yes, so colocations were pretty similar to last quarter, 467 new [indiscernible] in the quarter, which was pretty much in line with Q1, and we see a continuation of that through the rest of the year. Lease amendments to your question, I would say pretty normal activity in this quarter. It was a bit lower last quarter actually in Q1. So that's probably skewed the comp a little bit. But where it's coming from, Nigeria and Brazil, primarily, and we expect to see that continue through the back end of this year. We're seeing good leasing activity in Nigeria, Brazil, even in other parts of SSA market as well. So, as we sit here today in August, we're on for a pretty strong year at this point in time.
Yong Choe: And while you lowered CapEx guidance, you're still implying a pretty big ramp in the second half from what has been spent so far this year. Can you kind of walk through like where the ramp is coming from and what are the chances that might even come under guidance even though you already reduced it?
Steve Howden: Yes. We've said for a quarter or so now that the CapEx guide is H2 loaded, and that's based on when our rollout projects will come to fruition. That's a lot of it is in Brazil. There's a little bit of it sat around Sub-Saharan Africa as well. So, we're pretty confident in terms of the new lower guidance range. Obviously, a little bit of that CapEx is impacted by FX moderating as well. But we're pretty comfortable with that now, should be good for the rest of the year. But obviously, we'll update people again if anything has changed by the Q3 results.
Operator: Our next question comes from Jim Schneider of Goldman Sachs.
James Edward Schneider: I was wondering if you could just help us think about the impact of a few moving pieces on your organic growth heading into 2026 as we think about the modeling on the forward. Your organic growth guidance is now 11%. Maybe talk about how you're expecting the impact of CPI and FX resets to trend as we head into next year. And if I sort of back away those things, it seems like your underlying growth organic is about 6.5%. What are some other factors that could be some positive offsets to that, whether it be in terms of lease amendments, colocations or otherwise?
Steve Howden: Jim, Well, as you know, we're a little bit early in the year for 2026 guidance, but I'll give you some points in terms of what we can. If we talk about 2025 to begin with because I think it will give you a good indicator of what we're looking at for next year as well. As I just mentioned in terms of Richard's question, we are expecting continued strength in colocations and in lease amendments. If we're looking now for '25 at places like Nigeria, we're expecting higher colocation numbers than last year. In Brazil, we're expecting higher colocation numbers than last year. Lease amendments, we're expecting higher lease amendments in Brazil than last year. So, we're really kind of positive about the back end of this year. And then we see that continuing into next year. If we look around our markets, Nigeria and Brazil are kind of two of the biggest bellwethers at this point in time. And we see a pretty positive carrier environment in both of those markets. Nigeria -- we obviously had the tariff increases for the carriers earlier this year, and we've seen that translate into really positive results for the carriers. The carriers are under pressure on quality of service as well. So, the businesses are performing well and strong and they're being pushed on quality of service, which ultimately means potential infrastructure for us. And we're continuing to see rollout. So, we've talked publicly about our rollout with Airtel in Nigeria over the last 18 months or so. That continues at pace. So that's really pleasing. And if we switch sides of the Atlantic over to Brazil, we continue to see a really active pipeline, new build sites, yes, but also colocations and lease amendments as well. Our approximate 500 bps for the year across the entire group, 80% of that is coming from Brazil, and we might even slightly beat that given where the pipeline is coming. And that's really going to extend into 2026. We see a lot more opportunity there, notwithstanding the fact that the carrier environment is now down to three post all the Oi cleanups, and we're seeing positive momentum there as well. And so, your question on CPI and the shape of that, we expect CPI and FX resets, obviously, to be more moderate next year. And so hopefully, we'll be seeing a slightly bigger benefit of colocation lease amendments. And BTS, that's really a capital allocation discussion, which we'll be getting into as we get into the back half of the year.
James Edward Schneider: That's helpful. And then maybe just as a follow-up. In terms of capital allocation, I mean, you talked about the fact, Sam, that you're considering additional asset sales, but you're already going to be at the low end of your leverage range, not even -- notwithstanding the Rwanda sale. So, I'm just trying to understand from here, what would be the rationale for doing more asset sales? Is it -- would it be something that's purely opportunistic based on price? Or are you considering actions that you might actually deconsolidate some of your smaller scale operations and potentially acquire others to give you bigger scale where you already have a lot of it?
Steve Howden: I'll start on that one, Jim and Sam can chip in as well. I think specifically as it relates to the disposals that we've done and what we're still considering looking at. So, we said originally, we would sell $500 million to $1 billion worth of assets. We've also spoken about wanting to get the balance sheet down to around 3x leverage and that sort of territory. So, we are still thinking through whether to do some more disposals. We're looking at a few bits and pieces. But really, it comes down to value. If we think it's going to drive shareholder value, then we will absolutely do that. And what would we do with that capital? Again, capital allocation discussion. We're really thinking through in the second half of this year, what we do in terms of potential direct shareholder remuneration. So more on that potentially later in the year. But again, if it's going to generate good value versus where we're trading, then we'll keep looking at it. Sam, do you want to add anything else you want to add on that?
Sam Darwish: Jim, the short answer is that we are not discounting further asset disposals. I mean, at the end of the day, the strategic plan has at its core to basically find ways to return capital or return value to shareholders. And we believe at some point in time, if given where our multiples are at the moment, our group multiples, if we find -- if assets of offers are being made for assets that basically are accretive, then why not? I mean we'll have to be mindful of -- at the end of the day, we are a growth company, and we continue to grow. So, we want to also be able to preserve that. But the short answer is yes, as we consider ways to return that capital, whether it's through dividends or buybacks as we kind of like continue to approach our target comfort zone on net leverage.
Operator: Our next question comes from Michael Rollins of Citi.
Michael Ian Rollins: A couple of questions to follow up. So first, on the guide for 2025. So, you referenced that the constant currency organic growth is now better in the guide for '25 than it was previously. Can you give a little bit more detail of how that specifically evolved within the guidance and where the relative strength is coming from? And then the second question is just a follow-up on the capital allocation discussion. As you've contemplated what the right leverage is for the business, can you discuss the factors that got you comfortable that 3x or roughly that 3x net debt-to-EBITDA level is the right place to then get to that fork in the road where you're going to decide what to do with capital allocation from there and whether you contemplated sustaining higher or significantly lower leverage as part of those considerations?
Steve Howden: Mike. So, on your first question on the guidance, so where are some of those organic elements coming from, so i.e., outside of FX. Really, that's around, from a revenue standpoint, leasing activity, particularly in Nigeria, a little bit in Brazil, but also a little bit in Sub-Saharan Africa. So, we're seeing positive leasing activity coming through revenue performance in those places. We're also seeing more benefit come through in EBITDA because of a variety of cost-saving initiatives that we've had running. So, this is now away from sort of organic growth rates, which are on revenue, but into the wider guidance. We're seeing a variety of cost benefits coming through. Those will be recurring going forward. There's nothing one-off in there. That's a recurring benefit that we're going to see through the back end of this year and into next year. And then as we go even further down the cash flow statement, if you like, into ALFCF, on top of those revenue upsides, on top of those cost saving upsides, we're also seeing particularly interest upsides in terms of some of the things that we've been doing on the balance sheet, i.e., paying down debt, particularly paying down high interest debt. We're also generating more cash, which means we can generate more interest income. And so, all of that is adding to the overall picture of the guidance. That's why you're seeing EBITDA go up by more than revenue and ALFCF go up by more than EBITDA. So hopefully, that explains a little bit about that. And just to make sure we're clear, I said it earlier in the prepared remarks, but the guidance raise would have been higher, but we're also backing out the contribution from Rwanda for the balance of the year. So just to make sure that everybody is clear on that. And then why 3x there or thereabouts the right level? Look, I think as we've spent a lot of time assessing our capital structure in the last 18 months post significant Naira devaluation in particular, 3x there or thereabouts is a level that we feel pretty comfortable operating in. The business can certainly go up to somewhere like 4x if we were in kind of acquisitional mode. But we're not there at this point in time. That's not what we're doing. And so, running the business steady state, we feel like 3x is a pretty good leverage level, risk-adjusted for the markets in which we operate. We all know TowerCos can sustain more leverage than that. But for our markets, 3x feels the right level, not too much, not too little to be ineffective use of capital. What I would say is within that 3x leverage mix, we want to make sure that we are paying the most optimized level of interest expense on that. And that's part of what we're doing at the moment. As we all know, we've been looking at a lot of things on the balance sheet maturities, currency mix, interest rates as well as absolute amount and therefore, leverage. So, lots of different things going into that. 3x feels pretty comfortable for this business in the formation we're in now.
Operator: Our next question comes from Gustavo Campos of Jefferies.
Gustavo Finatti Campos: Congratulations on the results. Yes, 2 quick questions for me. The first is whether you have a total debt target for -- towards the end of the year? And secondly, whether you -- I see that your EBITDA contribution is roughly like 65% Nigeria and 35% coming from other geographies? And how do you expect this EBITDA mix from a geographic perspective to change over the medium term? If you have any high-level thoughts around that, that would be much appreciated.
Steve Howden: Sure. So, on the first one, no, no specific debt target. As we just talked about quite a bit, the target is really around net leverage of the bottom end of our current 3 to 4x range. So, we want to get the business to 3x. We'll hopefully be close to that by the year-end. And then on EBITDA -- I mean, a lot of the EBITDA contribution statistics will be dependent on any more disposals, obviously, whether those are inside of that perimeter or outside that perimeter being Nigeria. So we've said historically, we wanted Nigeria to be sub-50% of the business in terms of the contribution. That was before the latest kind of strategic initiatives that we've been executing for the last 18 months or so. So, we don't have a set target at this point in time. We're really just making sure that we execute on profitability, cash flow and balance sheet et cetera, so that we deliver share price value. And we'll be relooking at all of those things as we get into the back end of this year.
Operator: Our next question comes from David Lopez of New Street Research.
David Lopez: A couple of quick ones on Nigeria and one on the interest cost. So, in Nigeria, Nine Mobile has reached a roaming agreement with MTN. I was wondering if there is any impact to IHS. I believe it's not going to be big, but yes, is there any impact? And is that included in guidance? Just double checking. And still on Nigeria, could you comment about the upstreaming you have done in H1? And then the last one on interest cost, just a follow-up. So, you've continued to repay the expensive debt this quarter, as you have mentioned. I was wondering if you are targeting more expensive debt and what is the outlook for finance cost for this year and next year, please?
Steve Howden: Okay. Hopefully, I got all those down. You might have to remind me the last one on interest costs, right? So on mobile, yes, you're right, they've reached roaming agreement. The benefit to us is immaterial, very material. Everything is included in guidance. So there won't be any negative impact on that going forward. Upstreaming, yes, we've continued to upstream from Nigeria. We've continued at pace. We've now done $158 million through the half year. We've done more since the end of Q2. So that market continues to be freely available and accessible in the quantities that we need, which is good news. And then interest rates, the strategy. So the debt that we repaid, we paid $154 million of net debt, if you like. And the reason we say net debt is because we repaid $273 million equivalent of Brazilian debt with $200 million of new debt and $73 million of cash. So net $73 million repayment of Brazilian debt and roughly $80 million equivalent of Nigerian debt repayment. Those were our two most expensive facilities in the group. They were both local currency, and we have repaid that. That is the reason why our blended average cost of debt has dropped from 9.3% to 8.3% with that activity. What are we focusing on now? We're now focusing on particularly U.S. dollar debt and whether that's either repaying it through excess cash or potentially refinancing elements of it. And we're also looking at some of the local currency markets where we can access cheaper local currency debt to potentially refi some of the dollar debt, which is held at the top. So that's the next phase of the balance sheet activity. That's all in line with what we've been saying for the last 18 months, going step by step by step. So that's all on track as we thought it was going to be. I don't want to give you forecast interest rates for the balance of this year and next year because we're obviously looking to optimize where we can and take advantage of best possible interest rates, but I don't know what those will be yet.
Operator: Thank you. That brings us to the end of the IHS Holding Limited Second Quarter 2025 Earnings Results Call. Should you have any more questions, please contact the Investor Relations team via the e-mail address, investorrelations@ihstowers.com. The management team, thank you for your participation today, and wish you a good day.